Cyndi Holt: Good morning. This is Cyndi Holt, Vice President, Finance and Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers First Quarter and 2014 Year-End Conference Call. Yesterday, we issued our earnings release as well as our supplemental information package and our investor presentation. This information is available on our Investor Relations Webpage, investors.tangeroutlet.com. Please note that during this conference call, some of management's comments will be forward-looking statements, including statements regarding the Company's property operations, leasing, tenant sales trends, development, acquisition, expansion, and disposition activities, as well as their comments regarding the Company's funds from operations, adjusted funds from operations, funds available for distribution, and dividends. These forward-looking statements are subject to numerous risks and uncertainties and actual results could differ materially from those projected due to factors including, but not limited to, changes in economic and real estate conditions, the availability and cost of capital, the Company's ongoing ability to lease, develop, acquire or sell properties and obtain public financings, the expected timing and yields related to development projects, as well as potential tenant bankruptcies and competition. We direct you to the Company's filings with the Securities and Exchange Commission for a detailed discussion of the risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP measures to the comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to note that management's comments include time-sensitive information that may only be accurate as of today's date, April 29, 2015. At this time, all participants are in listen-only mode. Following management's prepared comments, the call will be opened for your questions. We ask you to limit your questions to two so that all callers will have the opportunity to ask questions. On the call today will be Steven Tanger, President and Chief Executive Officer; Frank Marchisello, Executive Vice President and Chief Financial Officer; Tom McDonough, Executive Vice President and Chief Operating Officer; and Jim Williams, Senior Vice President and Chief Accounting Officer. I will now turn the call over to Steven Tanger. Please go ahead, Steve.
Steven Tanger: Thank you, Cyndi and good morning everyone. Tanger started 2015 with outstanding performance in the first quarter. Same-center net operating income increased 4% and average tenant sales for the 12 months ended March 31, 2015 increased 3% to $395 per square foot. Adjusted funds from operation per share increased 11.1% to $0.50 per share from $0.45 per share in the first quarter of 2015. Many of you are interested in an update on our newest property in Savannah, Georgia, the three new developments that are currently under construction and our pre-development phase projects. First, let me turn you over to Frank who will take you through our financial results. I will then follow-up with a discussion of our operating performance, our external growth opportunities and our outlook for the balance of the year.
Frank Marchisello: Thank you Steve and good morning everyone. As Steve mentioned first quarter adjusted funds from operations increased 11.1% to $0.50 per share compared to $0.43 per share for the first quarter of 2014. On a consolidated basis our total market capitalization at March 31, 2015 was $5 billion up 2% from 4.9 billion last year. Our debt to total market capitalization ratio was 29%. We also continued to maintain a strong interest coverage ratio for the quarter of 4.35 times. Our balance sheet strategy remains conservative, targeting minimal use of secured financing and a manageable schedule of debt maturities. As of March 31, 2015 it was $404.3 million of available capacity under our unsecured lines of credit or about 78% of the total 520 million commitment. Approximately 86% of our consolidated square footage was unencumbered by mortgages as of March 31, 2015. The next significant debt maturity on our balance sheet is in October 2017 when our lines of credit mature and which we can extend for an additional one year at our option. On April 1, 2015 our Board of Directors approved an 18.8% increase in the annualized cash dividend on our common shares from $0.96 per share to $1.14. Simultaneously a $0.285 per share dividend was declared for the quarter-ended March 31, 2015, which will be paid May 15, 2015 to shareholders of record as of April 30, 2015. The above average percentage increase in our dividend is directly related to our current expectations regarding our 2015 taxable income and our long-term view of recurring cash flow. And it is without regard to the pending asset sales. We have paid a cash dividend each quarter and have raised our dividend each of the 22 years since becoming a public company in May of 19, 1993. We take pride in our inclusion in the S&P High Yield Dividend Aristocrats index, which recognizes companies within the S&P Composite 1500 that have followed a managed dividend policy of consistently increasing dividends every year for at least 20 years. Cumulatively we have increased our annualized dividend by 35.7% over the last three years, the equivalent of a compound annual growth rate of 10.7%. Our dividend is well covered with an expected FAD payout ratio for 2015 in the mid-50% range. At these levels, we expect to generate more than $100 million in excess cash flow over our dividend, which we plan to use to reinvest in our business and to help fund the development of new properties and the expansion of accessible properties. I’ll now turn the call back over to Steve.
Steven Tanger: Thank you, Frank. I am pleased to report that we continued to generate positive rent spreads during the first quarter of 2015, which surpassed the rent increases we recorded in the first quarter of last year on a blended basis. Our blended base rental rates increased 24.1% during the first quarter of 2015 on top of a 23.9% increase for the first quarter of 2014. We believe our ability to drive rents higher is a function of retailer demand for outlet space, increasing tenant sales and our leases being at below market rents on average. With the lowest average tenant occupancy cost ratio in our mall peer group at just 8.9%, our consolidated portfolio in 2014, we believe that our average occupancy cost ratio is well below market. Under these conditions, we have been successful in raising rents while maintaining a very profitable distribution channel for our tenant partners. Lease renewals during the first quarter of 2015 accounted for 869,000 square-feet or about 56.1% of the space coming up for renewal during 2015, and generated a 22.5% average increase in base rental rates. Re-tenanting activity accounted for an additional 269,000 square-feet of leases executed during the first quarter 2015. This was space was released at an average increase in base rental rates of 28.8%. This quarter’s average re-tenanting spread was negatively impacted by two leases totaling 30,000 square-feet executed with magnet tenants. We believe these leases will strengthen our portfolio in the long run by upgrading the tenant mix of the Tanger Outlet Centers at Atlantic City, New Jersey and San Marcos, Texas. In Atlantic City, we are replacing a low volume tenant that lacked brand recognition with Off Broadway Shoe Warehouse. In San Marcos, Texas, we are differentiating our property by opening a West Elm Outlet, which is unique in the market. This will only be the third West Elm Outlet store in the country. Excluding these two leases, our first quarter 2015 re-tenanting average rent increase would have been 33.6% and our blended average rent increase would have been 25.2%. Like West Elm Outlet, there are many brands interested in entering the outlet industry or in expanding their outlet presence. We have recently executed leases with exciting brands that are new to our portfolio, like Rag & Bone, Lululemon, Jared The Galleria Of Jewelry and Tailor Maid, just to name a few. As I mentioned earlier, same-center net operating income increased 4% during the quarter, exceeding last year’s first quarter increase of 3.3% and last year’s full year increase of 2.6%. In addition to our rent spreads, one of the key drivers of this year’s increase is the addition of high volume tenants in 2014 that are now comping and as a result are producing higher average rents. This quarter’s increase extends our streak of same-center net operating income growth to 41 consecutive quarters, dating back to the first quarter of 2015 when we first began tracking this metric. Occupancy for the consolidated portfolio was 96.7% on March 31, 2015 slightly below March 31, 2014, primarily as a result of a disproportionate number of bankruptcy-related store closings. During the second half of 2014 and the first quarter of 2015 bankruptcy-related store closings accounted for approximately 104,000 square feet within our consolidated portfolio compared to only 8,000 square feet as of March 31, 2014. Tanger's ongoing long-term strategy is to provide the consumer with the best overall shopping experience. So we strive to perpetually upgrade our tenant mix to position our centers for long-term growth. These store closings provide us with an exceptional opportunity to execute our strategy, to release vacant space to better credit, higher volume tenants. We expect occupancy to rebound as we move through the rest of the year. As of March 31, 2014 we had executed new leases for approximately 24% of the space vacated by bankruptcies. We expect these leases to generate an increase in the average base rental rates of 30% compared to the prior tenant starting by the end of the second quarter of this year. Approximately 21% of the space vacated by bankruptcy-related closings was occupied by temporary tenants as of March 31st. In keeping with our strategy of optimizing our tenant mix for the long-term strength of the portfolio, we prefer to utilize temporary tenants in the short-term to generate some income until we get the right tenant for the long-term. During the first quarter of 2015 IZOD and Jones New York each announced plans to close all of their retail stores by the end of 2015, excluding three leases that will be converted to other retail concepts, our exposure within the consolidated portfolio includes 16 stores totaling approximately 48,000 square foot which were not scheduled to naturally expire this year. We currently expect five stores totaling 19,000 feet to close during the second quarter, four stores totaling 11,000 feet to close in the third quarter and the remaining seven stores totaling 18,000 feet to close in the fourth quarter. The average sales are approximately $307 per square foot and the average base rent is $28.85 per square feet for the 48,000 square feet of space. We plan to capitalize on this unique remerchandising opportunity to further upgrade our portfolio with more productive tenants at higher average rents. Tenant demand for outlet space coupled with our reputation within the industry of having a quality portfolio of outlet centers and a refined skill set for developing, leasing, operating and marketing them has afforded us a robust external growth pipeline throughout the United States and Canada. We are on-track to deliver four new Tanger Outlet Centers in 2015 totaling 1.360 million square feet which will increase our total portfolio by about 10%. Earlier this month, we and our joint venture partner opened the newest Tanger Outlet Center in the greater Savannah, Georgia market that welcomes 12 million visitors annually. The center has been well received by retailer and shoppers alike. The exciting lineup of outlet retailers at the center includes Coach, Michael Kors, J. Crew, Brooks Brothers, Nike, Cole Haan, Polo Ralph Lauren, Zero Gravity, Talbots, Under Armor, Gap, Banana Republic, White House, Black Market, Ann Taylor, Loft and many-many more. Located on a highly visible site on Interstate 95 at the Savannah, Hilton Head International Airport Interchange the 377,000 square foot property opened 95.4% leased. We believe this location will provide marketing and management synergies with our other seven outlet centers in Georgia and South Carolina. We plan to capitalize on the popularity of the Tanger outlets brand in the region to drive traffic and sales. In just three weeks on May 21, 2015 grand opening festivities are planned for the new Tanger Outlet Center at Foxwoods Resort Casino in Mashantucket, Connecticut. The 313,000 square foot center is suspended above ground to join the resort's two casino floors which along with other Foxwoods’ various onsite entertainment venues attracts millions of visitors each year. Construction is well under way at the site of our wholly-owned new development project in the Grand Rapids market in Byron Township, Michigan. Grand opening of this new 350,000 square foot center is scheduled for July 31st of this year. In January of this year we and our joint venture partner commenced construction of a new 320,000 square foot Tanger Outlet Center located 4.5 miles south of Memphis, Tennessee in South Haven, Mississippi. The Memphis market attracts over 9 million visitors annually and more than 1.5 million people live within an hour of the development site. We and our partner currently expect the center to be completed in time for holiday 2015 opening. The total projected cost of the new developments, that we plan to open in 2015 are about $381.8 million. Of this amount, our remaining equity contribution necessary to complete these projects net of construction loan proceeds was only about 56.6 million as of March 31st, which we plan to fund with internally generated cash flow. At the midpoint of the yield ranges disclosed in our supplemental information. The weighted average stabilized return on cost for these projects is currently projected to be approximately 10.1%. We believe these developments will extend our proven track-record of creating high-quality outlet centers at yields well above our cost of capital and should create significant long-term shareholder value. In addition to the projects that we expect to open this year, we have announced one planned 2016 grand opening and are working on a number of predevelopment stage projects that we will announce when we have completed our underwriting process. We and our joint venture partner plan to acquire land in the Columbus, Ohio market this week. We intend to start building shortly after purchasing land and expect to complete this approximate 350,000 square-foot Tanger Outlet Center in time for a grand opening in the second quarter of 2016. Moving on to asset recycling. We closed on the sale of our 50% interest in the outlet center in Wisconsin Dells, Wisconsin to our joint venture partner on February 28, 2015. This privately negotiated transaction valued Tanger’s interest at 27.7 million consisting of 15.6 million in proceeds to us and our 12.1 million share of the venture’s debt. The $27.7 million price agreed to between the partners was based on 90% of the appraised value of the property according to a current third property appraisal report. We recognized a gain on the transaction of $13.7 million. Earlier this year, we entered into a letter of intent with a private buyer for the sale of four properties currently held for sale. The buyer is currently conducting due diligence. Should the buyer choose to move forward, we currently expect the transaction would close in the third quarter of this year for all four properties. Unless and until the transaction closes, we cannot provide assurance that the buyer will move forward at the terms and on the timeline proposed in the letter of intent. Due to confidentiality obligations to the buyer, competitive considerations and our ongoing leasing efforts, we will not specifically identify the properties at this time. We look forward to providing you more detailed information when and if the transaction closes. With respect to earnings guidance for 2015, based on our current view of market conditions and trends we are raising our guidance strictly due to better than expected operating performance. We currently expect our 2015 estimated diluted net income to be between $1.50 and $1.56 per share and our 2015 FFO to be between $2.09 and $2.15 per share, or $0.02 per share higher than our previous guidance. Our assumptions with regard to asset sales remain unchanged from our initial guidance, which included approximately $0.10 per share of dilution related to the 2014 sale of the center in Lincoln City, Oregon, the sale of the Company’s 50% interest in its Wisconsin Dells joint venture and the sale of three additional properties, that were expected to but did not, close on or before March 31 of this year. Our initial guidance did not assume the fourth asset would close until 2016. But if the buyer chooses to move to forward, the transaction for all four outlet centers held for sale is currently expected to close in the third quarter of this year. Any future update to guidance as it relates to asset sales would be pending the outcome of the transaction. Our guidance assumes same-center net operating income growth of approximately 3% to 3.5% and average general and administrative expenses of approximately $11.5 million to $12 million per quarter. Our estimates do not include the impact of any potential refinancing transactions or the sale of any outparcels of land. We remain optimistic about the growth prospects for our Company and our industry, as shoppers continue to see brand name products direct from the manufacturer. The tenant community continues to indicate its desire to expand into new markets in the United States and Canada with Tanger as a preferred partner. The resiliency of the outlet channel has been proven over the past 34 years through many economic cycles. We have nearly 3,000 long-term leases with good credit brand name tenants that have historically provided a continuous and predictable cash flow in good times and in challenging times. No single tenant accounts for more than 4.8% of our base and percentage rental revenues or 7.8% of our gross leasable area. In addition, approximately 90% of our total revenues are expected to be derived from contractual base rents and tenant expense reimbursements. Now I'd be happy to open the call for any questions.
Operator: [Operator Instructions] Your first question is from Christy McElroy with Citigroup. Your line is open.
Christy McElroy: Steve I realize you're still in the due diligence phase on projects slated for completion for 2016 and beyond the Columbus project. You can't really disclose specific projects but can you give us a sort of a general sense for a pace of development spend and deliveries that we could expect in 2016 relative to what you have going on in 2015 where you've four projects?
Steven Tanger: We expect to deliver one to two new projects in each of the next two to three years as we have previously discussed, so we have several projects where we're in our internal due diligence and our underwriting process right now for 2016 and 2017 and we hope certainly before the end of the year to be able to announce at least one more for 2016.
Christy McElroy: So you're thinking probably one more beyond Columbus and then the rest will be 2017 delivery?
Steven Tanger: That's our plan right now.
Christy McElroy: And then you mentioned the two magnet tenants where the lease has impacted your spreads in the quarter, to what extent do you expect to do more of these larger magnet leases during the balance of 2015 that could further impact your releasing metric?
Steven Tanger: I don't think we're going to have many more because those were unique sizes, we may have one or two more but we certainly wanted to report the good news that we have a large magnet tenant going into Atlantic City and we have high hopes now for Atlantic City which we've just -- we're contiguous with a brand new Bass Pro Shops, large Bass Pro Shops which opened to a lot of fanfare and a lot of traffic. So that's reinforcement of our long-term view of Atlantic City. San Marcos the West Elm store is unique to the market which is great and we continue to talk to a lot of unique tenants to fill the space. Look when we were 80, and 98% to 99% occupied some people suggested that we hold space off the market to try to upgrade or generate more rent. This is a unique opportunity for us to do that and we're happy to pursue that strategy.
Christy McElroy: And would you expect to see a pickup in rents from further leasing in those sectors following the opening of these new stores?
Steven Tanger: That's the plan, it's worked in the past and that's what we expect in the future.
Operator: Your next question is from Samir Khanal with Evercore ISI. Your line is open.
Samir Khanal: On the assets that are held for sale can you provide any color kind of on the prior buyer as to why that deal did not go through. Just trying to get a sense of whether it was more sort of buyer-specific reasons or there were other, did the buyer have any other concerns about the assets itself or maybe the tenants, just any color around this would be helpful?
Steven Tanger: I think you'd have to ask the buyer but we heard nothing other than they just decided that they had other investment opportunities and other property types and decided that they just didn’t want to move forward.
Samir Khanal: And just moving on, for the assets that you under JV are you happy with kind of the current ownership structure or are there further opportunities to simplify the structure like you did with, possibly selling some of your interest like you did with Wisconsin Dells at this point?
Steven Tanger: We're very happy with our partners today. The projects that we have in joint venture structure are successful and growing. Each of the properties in a joint venture though has an exit scenario that either partner can exercise after a period of time. I don’t know what the future will bring but right now the properties are doing well and there's no need to change it.
Operator: Your next question is from Todd Thomas with KeyBanc Capital, your line is open.
Todd Thomas: Just first question, in terms of guidance so the adjustment to the range was due to a better core performance but the same-store NOI growth forecast remained unchanged, I mean what specifically are the drivers of the guidance increase?
Frank Marchisello: Hi Todd it's Frank. A couple of things really jumped out at us, one is that on our new developments opening this year, we felt a little better visibility on the opening occupancies that would be higher than we originally had expected. So we’re going to get a little additional pop from our new development openings. We also completed a negotiation of some termination rents with a couple of the tenants that are closing stores slightly over $1 million that will bring into income over the remaining lease term now which will be between now and the end of the year. As well as the fact that we started off pretty strong in the first quarter with regards to same-center NOI. We weren’t comfortable enough to raise our NOI guidance per se but I think we’re more comfortable that we may end up at the higher end of that range. But it’s still early in the year so we do want to adjust the same-center NOI guidance per se.
Todd Thomas: And then Wisconsin Dells just based on some of the information that you’ve disclosed historically it looks like that’s all equated to about a 7.8% cap rate on 2014 NOI, maybe slightly higher on ’15. Can you just comment on that pricing? Is that the right number? And sort of given that there are not many traditional outlet assets that really trade hence what’s the read-through on the appraised value and the sale of Wisconsin Dells for sort of asset pricing in the outlet space in general?
Steven Tanger: I don’t think you can extend a negotiated price between partners in an off market transaction in a small center located in Wisconsin to value of a national portfolio going forward it was a unique transaction and I don’t think you can read through anything with regard to pricing. It was the standalone small asset sale that was not meaningful or significant, but in transparency we disclosed it and you can draw whatever conclusions you’d like. But we don’t feel it’s indicative of anything.
Todd Thomas: Are you able to share at all just in terms of where that property sort of performed relative to your consolidated portfolio? Maybe in terms of sales productivity or just recent operating history, I mean it was generally 100% occupied or very highly occupied over the last several years. How was same-center growth trending at that asset?
Frank Marchisello: Hi Todd it’s Frank, I think one of the things that we focused on is looking out longer term and we did not feel that the long-term growth prospects within this particular property were as high as they would be at any of our other properties. It’s constrained as the size there was some tenant turnover we were able to fill and keep it occupied. But as we look longer term and that’s what we focused on, we just didn’t see that the growth was there again no expansion capacity. We thought there was limited rent increases that were associated with the property, so we just felt like from a long-term perspective it’d be best to go ahead and divest at it and move on.
Operator: Your next question is from Tayo Okusanya with Jefferies. Your line is open.
Tayo Okusanya: Just a general mobile high level question I mean there is a thought out there right now that in the outlet space you are going to end up seeing a bifurcation very much as you’ve seen in the mall space within Class As and Bs again where the A outlets are again closer to town and some of the B ones are 40-60 miles out from town as they traditionally have been in the past 20-30 years. Steve I was just wondering if you could just comment on that idea, if you expect that to happen, if retailers are demanding outlets closer to town. What that could imply for pricing for again this kind of new breed Class A outlets versus the traditional ones that people are expecting may become B outlets over the next five to 10 years?
Steven Tanger: That’s a multipart question. I’ll do the best I can to feel the way at it. You’re right 15 years ago outlets were 30 to 60 miles away, but that’s yesterday’s news, most of the new properties that are being delivered now are maybe five to 10 miles away. And that’s been consistent for the past five to seven years. As far as closer to town, there is various strategies and we can talk about that. But our major competitor whom we respect has some fabulous shopping centers that are A plus properties like Libre Commons and Cabazon out in California which are not near the market but are still A plus properties. Woodbury is about 55 miles from the city and it’s got a world-class tenant mix. And I think people would say it’s a world-class asset. Some of our properties are like Sevierville, Tennessee, Rehoboth Beach, Delaware, River Head, New York are certainly world-class A plus assets and wouldn’t be considered close to market. So, that I think is the answer to one question. Whether the investment community bifurcates outlet centers into A, B, C. Keep in mind there's only about 200 outlet centers in the country versus about 1,100 regional malls, so we feel that our properties are all A and B properties going forward and I'm sure our major competitor feels the same way. But like any industry there's the bottom 10%, fortunately we don't feel like we own any of them, but that's just our opinion. But going forward we are careful to recycle our assets and allocate capital to centers that we feel will be in A markets and produce A shopping centers with high growth potential and so far over our 34 year history and 22 or 23 years of being a public company we've been able to do that.
Operator: Your next question is from Michael Mueller with JPMorgan. Your line is open.
Michael Mueller: I guess putting aside the impact of asset sales or development openings, where do you see occupancy ending this year relative to the end of 2014 just given the store closings that you announced previously and just this round that you announced on the call?
Frank Marchisello: Hi Mike it's Frank. We ended last year at around 98% and I really don't see any reason that that could not be consistently applied to this year. We do have the vacancies from the bankruptcies that we will work through and provide again additional tenants into this spaces if we don't see any additional store closings in coming on the horizon so currently I would believe that we could get back to the 98% that we had last year.
Michael Mueller: And then I guess in the previous question you talked about one to two new outlet centers a year and how should we think of that in terms of either being wholly-owned versus joint ventures. Is it most of what you're looking at in the joint venture still?
Steven Tanger: We are opportunistic as we have mentioned before. The property in Columbus, Ohio is in a partnership with the Simon Property Group it’s our joint venture of which we're very happy with the structure and the previous other two properties are doing extremely well. In the markets we're looking at our preference is to do them as a wholly-owned venture but if the way to get the appropriate land is to deal with a joint venture partner we will do that, but our preference is wholly-owned.
Operator: [Operator Instructions] Your next question is from Rich Moore with RBC Capital Markets. Your line is open.
James Frederick: Hi guys, this is James Frederick on for Rich. So I was curious if you could give some color on what tenants are thinking going in the ICSE coming up in a couple of weeks here and then how your schedule was shaping up for that as well?
Steven Tanger: The tenants in the outlet world are optimistic, looking to continue to grow their outlet distribution channel. We continue to talk to the CEO’s of most of our major tenants who are continuing to allocate a disproportionate share of capital to the outlets which is in most instances their highest and best return on invested capital. So the mood is optimistic, our calendar is full and we've added leasing reps so you might say it's even more than the previous years.
Operator: And we have no further questions at this time. I'll turn the call back over to Mr. Tanger for any closing remarks.
Steven Tanger: Thank you operator and I appreciate all of you participating today and for your continued interest in Tanger Outlets. Frank and I and Tom and Cyndi and the rest of our team here are delighted to answer any questions you may have in the future. And I'd like to invite all of you to come visit with us at the Foxwoods Casino at the end of May as we open. It'll be a fun weekend and I look forward to seeing you. So thanks everybody and have a great day, goodbye.
Operator: This concludes today's conference call. You may now disconnect.